Operator: Good day, and welcome to the OneSpaWorld Second Quarter Fiscal 2024 Earnings Call. All participants will be in a listen-only mode. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Ms. Allison Malkin of ICR. Please go ahead.
Allison Malkin: Thank you. Good morning, and welcome to OneSpaWorld's second quarter 2024 earnings conference call and webcast. Before we begin, I'd like to remind you that certain statements and information made available on today's call and webcast may be deemed to constitute forward-looking statements. These forward-looking statements reflect our judgment and analysis only as of today and actual results may differ materially from current expectations based on a number of factors affecting our business. Accordingly, you should not place undue reliance on these forward-looking statements. For a more thorough discussion of the risks and uncertainties associated with the forward-looking statements to be made in this conference call and webcast, we refer you to the disclaimer regarding forward-looking statements that is included in our second quarter 2024 earnings release, which was furnished to the SEC today on Form 8-K. We do not undertake any obligation to update or alter any forward-looking statements, whether as a result of new information, future events, or otherwise. In addition, the company may refer to certain adjusted non-GAAP metrics on this call. An explanation of these metrics can be found in our earnings release issued earlier this morning. Joining me today are Leonard Fluxman, Executive Chairman, Chief Executive Officer and President; and Stephen Lazarus, Chief Financial Officer and Chief Operating Officer. Leonard will begin with a review of our second quarter 2024 performance and provide an update on our key priorities. Then Stephen will provide more details on the financials and fiscal year 2024 guidance. Following our prepared remarks, we will turn the call over to the operator to begin the question-and-answer portion of the call. I would now like to turn the call over to Leonard.
Leonard Fluxman: Thank you, Allison. Good morning, and welcome to OneSpaWorld's second quarter 2024 earnings conference call. It's a pleasure to speak to you all today to share another period of record performance. Our team delivered an outstanding second quarter, capping off an excellent first half of the year. The consistent strong performance of our business evidences the power of our operating platform to provide unsurpassed guest experiences for our cruise line and destination resort partners. And driven by a continued momentum and scaling impact of our growth drivers, we are once again increasing our annual guidance beyond the quarter's outperformance. With earnings today, we also announced that our Board of Directors adopted an annual cash dividend program, which recognizes our ability to leverage our industry leading operating platform, integrated growth initiatives, and asset-light business model to generate ongoing increasing after-tax free cash flow. Turning to the highlights of the quarter. Total revenues increased 12% to a record $224.9 million compared to $200.5 million in the second quarter of 2023. Income from operations increased 40% to a record $18.8 million compared to $13.4 million in the second quarter of 2023. Adjusted EBITDA increased 25% to $27.1 million compared to $21.6 million in the second quarter of 2023, and unlevered after-tax free cash flow increased 18% to $23.8 million compared to $20.1 million in the second quarter of 2023. The unlevered after-tax free cash flow conversion rate was 88% in the second quarter of 2024. The expansion in our ship count continued during the period. At quarter end, we had health and wellness centers on a 197 ships with an average ship count of 188 ships for the quarter compared with 183 ships and an average ship count of 177 ships in the second quarter of 2023. At quarter end, we had 4,300 cruise ship personnel on vessels compared with 3,813 cruise ship personnel on vessels at the end of the second quarter of 2023. The quarter included continued progress towards our key strategic priorities. Let me share some highlights with you. First, we captured highly visible new ship growth with current cruise line partners and added new cruise line partnerships to our fold. To this end, in the second quarter, we opened health and wellness centers on two new ship builds, one with Cunard and the other with Silversea Cruises. This follows the opening of our health and wellness centers on the Icon of the Seas and Sun Princess in the first quarter, bringing our year-to-date new builds to four. We continue to expect to end fiscal 2024 operating onboard 198 vessels. Second, as it relates to our higher value services and products, as you recall, we introduced new cryotherapy body services and new cryotherapy and LED facial services to complement the new technology driven Elemis Biotec 2.0 facial and LightStim therapy, which augments our acupuncture revenue. We will continue to ramp these new services to the entire fleet over the next few quarters. Third, we focused on enhancing health and wellness center productivity. We grew key maritime operating metrics with continued strong growth in revenue passenger per day, weekly revenue, and revenue per staff per day. This was driven by growth in total cruise guests utilizing the spa and the number of treatments per guest, which benefits from the success of our technology enhancements, our expertise in staff training, and the simplification of our service menu options and treatment blends. Additionally, we continue to attract and retain staff, which has led to an increasing percentage of experienced staff members working onboard. We are pleased to see more of our staff members sign on for additional contracts, reflecting the compelling workplace environment we provide and their affinity towards our company. These more experienced staff members are also skilled at recommending product and service options, which combined with the simplification of our service menu and treatment blend led to growth in higher-price products and services. Pre-booking revenue as a percentage of services remains strong at 23%, even as we phase in new partners that are just beginning to scale. We continue to see passengers that pre-book services spend 30% more than those that do not pre-book. And finally, we continue to expand productivity within our Medi-Spa. The quarter saw same spa revenue overall up double-digit year-over-year. We continue to increase the number of doctors and nurses we have onboard and add to our service offering. At quarter end, Medi-Spa services were available on 144 ships, up from 142 ships in the first quarter this year, and up from 129 ships at the end of the second quarter of 2023. We remain on track to expand Medi-Spa offering to 148 ships this year. Fourth, we further enhanced our financial position and flexibility. Our balance sheet strength was bolstered by our repayments of our first lien term loan this quarter. And fifth, as mentioned, our Board of Directors approved and reinstated an annual cash dividend program with the initial quarterly dividend payment of $0.04 per common share payable to shareholders on September 4, 2024 of record as of the close of business on August 21, 2024, reflecting the strength of our asset light business model and consistent record of growth. In summary, we are pleased to report an excellent second quarter and first half of the year and remain excited about our business outlook. Our third quarter is off to a strong start, and we remain confident in our ability to deliver robust operating and financial performance, both in the near and long-term. Overall, we continue to expect fiscal 2024 to represent another year of record growth and increased value for our shareholders. With that, I'll turn the call over to Stephen, who will provide more details on our second quarter results and guidance. Stephen?
Stephen Lazarus: Thank you, Leonard. Good morning, everyone. We are pleased to report ongoing strength with the delivery of better-than-expected results across all key financial metrics in the second quarter. We continue to drive shareholder value with the quarter generating record revenue, record net income, and record adjusted EBITDA. And we ended the period with a stronger balance sheet and delivered positive cash flow. I am also pleased that our Board demonstrated confidence in our business outlook and our ongoing ability to generate strong cash flow with the initiation of an annual cash dividend program. Sharing more detail on the second quarter we reported earlier this morning, total revenues were $224.9 million compared to $200.5 million in the second quarter of 2023. The increase primarily was attributable to our average ship count increasing to 188 health and wellness centers onboard ships operating during the quarter compared with our average ship count of 177 health and wellness centers onboard ships operating during the prior quarter together with our continued productivity gains across our operations. Cost of services were $150.8 million compared to $137.2 million in the second quarter of 2023 with the increase again being primarily attributable to costs associated with increased service revenues of $180.8 million in the quarter compared with service revenue of $163.2 million in the second quarter last year. Cost of products were $37.1 million compared to $32.2 million in the second quarter of 2023, the increase primarily attributable to costs associated with increased product revenue of $44 million in the quarter compared to product revenue of $37.3 million in the second quarter of 2023. Net income was $15.8 million or net income per diluted share of $0.15 as compared to a net loss of $3.2 million or net loss per diluted share of $0.03 in the second quarter of 2023. The improvement was primarily attributable to a $12.2 million decline in other expense from the change in the fair value of the warrant liabilities and more importantly, a $5.4 million increase in income from operations. As you know, the change in fair value of warrant liabilities was the result of the remeasurement to fair value of the warrants exercised during the second quarter of 2024, reflecting changes in the market price of our common stock and other observable inputs deriving the value of these financial instruments. Importantly though, there are no outstanding warrants as of quarter end. The $5.4 million positive change in income from operations primarily derived from the increase in the number of health and wellness centers onboard vessels and our continued productivity gains. Adjusted net income was $21.7 million or adjusted net income per diluted share of $0.20 as compared to adjusted net income of $15 million or adjusted net income per diluted share of $0.15 in the second quarter of last year. Adjusted EBITDA was $27.1 million compared to adjusted EBITDA of $21.6 million in the same period of 2023. Moving on to the balance sheet, we ended the quarter with a stronger balance sheet including total cash of $63.7 million after repaying $15 million of our first lien term loan during the quarter. Since the second quarter of fiscal 2022, we have repaid over $109 million of indebtedness and we have reduced our debt now to $123.8 million as of June 30, 2024. In the second quarter, unlevered after-tax free cash flow was $23.8 million compared to $20.1 million in the second quarter of 2023. Moving then on to the guidance, with our strong second quarter performance and a positive outlook, for the second time this year, we have increased our fiscal 2024 guidance beyond the outperformance in the first half. We now expect revenues to increase 11% and adjusted EBITDA to increase 18% at the midpoint of the guidance ranges from our fiscal 2023 actual results. For full-year 2024, we now expect total revenue in the range of $870 million to $890 million versus our previous guidance of $860 million to $880 million and adjusted EBITDA is now expected in the range of $102 million to $108 million, up from our previous guidance of $95 million to $105 million. We expect to end fiscal 2024 on 198 cruise ships and at 52 resorts. For the third quarter, we expect total revenue in the range of $235 million to $240 million and adjusted EBITDA in the range of $27 million to $29 million. Our third quarter guidance assumes an ending ship count of 197 and resort count of 52. In summary, we enter the third quarter strongly positioned. We are confident in our outlook and our ability to continue to deliver increased value for our shareholders as we execute our proven strategies supported by our advantageous operating platform, robust growth initiatives, and asset-light business model. And with that, we will open up the call for questions. Chuck, if you could please open the call? Thank you.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions]. And the first question will come from Gregory Miller with Truist Securities. Please go ahead.
Gregory Miller: Thank you very much. Good morning, Leonard and Stephen. My first question relates to product spend. I'm curious how product spend is trending post-treatment today. The second quarter revenues looked quite strong. Are you seeing any changing trends and what types of products or price points are resonating more with your guests today? Hey, there. Can you hear me?
Stephen Lazarus: We can, Greg. I thought Leonard would take the question. Maybe he just dropped off momentarily.
Leonard Fluxman: Yes, sorry, Greg. I was on mute. Yes, thanks. Product demand and service demand continues to be very strong. We see many benefits associated with some of the new services we've rolled out, the many simplifications. And so we see retail attachments being just where we need it. I think there's room to improve it as we continue to simplify menu choices, which actually promotes good retail attachments. So demand is there, and we're very happy with the progress on retail attachment.
Gregory Miller: Thanks. And in terms of my follow-up, this relates to spa menu pricing, and it's maybe a little bit more of a hypothetical question, but I'm going to try to ask anyways. To my understanding, you look at United States high end resorts for benchmarking in terms of spa menu pricing. I'm curious, how much is the U.S. resort spa menu pricing a potential ceiling for you in terms of your own spa menus? For example, if you're in the position where your demand is stronger than a U.S. resort today, which is quite possible, given many affluent Americans are traveling abroad this summer, including, of course, going on cruises, do you expect to get much pushback if you raised pricing above an equivalent state-size alternative?
Leonard Fluxman: Yes, so look, we always look at land-based high-end resorts. I mean, listen, not every single banner, you would say, is in that particular category. So we -- I mean, remember, Greg, we go across many, many different categories of demographic and consumer. So we look at a lot of different land-based data as we determine where pricing should be, and if you compare us to luxury or high end, as you say, we're definitely still quite value oriented. We think there may still be an opportunity down the road, not right now. But certainly for 2025, we will, as part and parcel of our budgeting process, look at the opportunity where we can take further pricing.
Gregory Miller: Understood. Thank you very much.
Leonard Fluxman: Yep. You're welcome.
Operator: The next question will come from Max Rakhlenko with Cowen & Company. Please go ahead.
Max Rakhlenko: Hey, thanks a lot guys. And congrats on a really strong quarter. So first, curious if you can provide some additional color on the implied fourth quarter revenue and margin guidance. Seems like it could be pretty conservative on both top and bottom line, just given the run rates you're seeing, as well as the implied third quarter. So just how are you framing and sort of what's the thinking that's going into the fourth quarter?
Stephen Lazarus: Yes, Max, good morning. As you know, the fourth quarter seasonally is a softer quarter for us, and historically, that has been the case, shift, reposition and, obviously, we come out of the much more productive summer vacation period for North American school holidays. So it's not atypical to see a softer fourth quarter than the third quarter, and our implied margin for the fourth quarter at the midpoint is 11.9% on an EBITDA basis. So it's not far short of where we've delivered in the first and second quarter, and just gives us the opportunity to the extent that we would need to do any type of promotional activity because of those re-positionings, et cetera, to do so. So I think the short of it is it's what we would expect seasonally and also from a demand perspective based upon where the ships begin to sail during the first half of that quarter as they reposition.
Max Rakhlenko: Got it. Okay, that's helpful. And then congratulations on announcing the dividend. So curious, what's the strategy around the growth profile of the dividend? How are you thinking about that? And then balancing it with continuing to pay down debt, is the strategy to pay down debt completely over the medium term, or would you be okay continuing to carry some level even longer? So just curious about the balance of dividend versus the debt paydown.
Stephen Lazarus: Yes, I think the word that you use is most appropriate, the balance. As you obviously know, everybody knows, we do continue to have debt. We also do have a share repurchase program that is in place, and so we like the flexibility to be able to allocate between the share repurchases, the debt paydown, and of course now there's also the dividend. Yes, we would be comfortable carrying some debt. I think we've already previously mentioned that the debt is at a very manageable level, net debt well below 1% in terms of where we would want it to be. So I mean, one turn rather. So, yes, we're absolutely comfortable, and I think it'll just come down to what makes the most sense, right? Opportunistically, the stock repurchases may come into play over time. There's certainly the opportunity to grow the dividend, and depending on what happens with interest rates will drive how aggressive we are in paying down the debt.
Maksim Rakhlenko: Got it. And just a quick follow-up on that point. Your cash on the balance sheet continues to grow. So is that related to potentially just having some dry powder to buy back stock, or what's the rationale for that?
Stephen Lazarus: So it is at a higher point than it traditionally has been. A driver of that is, as you know, our line of credit expired in March, and we did not renew it. So it really is just to have some additional liquidity on the one hand, and, yes, look, to the extent that there's an opportunity on the stock repurchase side, it's always nice to have some cash to be able to pull the trigger on that.
Maksim Rakhlenko: Got it. Thanks a lot. Best regards.
Stephen Lazarus: Take care.
Operator: The next question will come from Sharon Zackfia with William Blair. Please go ahead.
Sharon Zackfia: Hi, good morning. It was really impressive to see what it looks like spot productivity actually accelerate from where you had been, which is already at really good levels. And I know, Leonard, in your comments, you talked about treatments per guest improving and some tech enhancements that were helping drive that, among other factors. Can you talk about what those tech enhancements are and kind of what you have coming down the pike? I think you have some investments in AI going on right now, but I'm not sure if they've manifested yet in any way in the back of house or front of house at the spas.
Leonard Fluxman: Yes, thanks, Sharon. These are good questions. So let me just answer the simple one first. We have not rolled out any AI enhancements yet. They're still in development phase. I would say sort of first innings. We're going through identification of opportunities, particularly onboard, and then certainly in supply chain and other areas in the back office of OneSpaWorld. But there's nothing in place right now, nor anything that will, in 2024, impact the ability to use AI to drive better productivity. So, we're working on it. It's in its early stages of development, and we certainly are very, very excited about some of the areas that we are going to tackle with respect to enhancing further productivity enhancements from start with the use of some of the AI technology. But once we have it fully developed, once we have it ready to roll out, we will certainly be happy to talk to everybody in the community, shareholders, et cetera, about what this AI will do for the operations. Obviously, it's going to take some testing, et cetera. So, too early to comment, but certainly exciting to see what it may do for us once we roll it out. With respect to productivity gains, we saw definitely a pickup in the number of guests coming through our spas. I mean, it was close to about 500,000 more. But then the denominator of the new ships went up a lot more. So effectively, we're treating more people. The simplification of our menus, which is helping promote both service demand and retail attachment, all led to better productivity during the quarter. And certainly, that productivity continues as we start at the third quarter.
Sharon Zackfia: And thanks for that. And then on product margin, it's kind of beating my model every quarter. And so, Stephen, can you talk about what the drivers are of product margin? And I know you don't own Elemis anymore, but where can product margin go? And are we seeing Medi-Spa kind of help elevate this? I'm trying to figure out -- we're in the mid-teens now, well above 2019, I mean, what's the line of sight on how high we could see product margin ultimately go?
Stephen Lazarus: Sure. So, Medi-Spa, no. There's no real product attachment of note as it relates to Medi-Spa services at this point in time. So that is not helping. As it relates to the cost of the product, and yes, we no longer own Elemis. But, as you know, we did enter into, pre the companies disaggregating, a long-term supply agreement. So the cost side of that is fixed in terms of go-forward. And so, where you see improvements there, it's around things that we're doing onboard. And the biggest driver right now, frankly, is just the continued productivity improvements and the lack of discounting being required in order to promote those sales.
Sharon Zackfia: Okay, thank you.
Operator: The next question will come from Laura Champine with Loop Capital. Please go ahead.
Laura Champine: Hi, my question is also on that product side, which is beating our estimates. I'm wondering if you have looked at additional product lines you could add there. I know we've talked about ways to build an e-commerce business so that your customers keep paying you even after they've left the ship. Is there M&A that could be done there that we would need to do to have sort of an e-commerce side of the business or just share kind of your growth thoughts on products?
Leonard Fluxman: Yes. Thanks, Laura. No, we don't have a need. I mean, Elemis really -- we're involved in the R&D side. We certainly sit on the calls. We give them a lot of ideas about what's working in our particular world versus their land-based and retail outlets. So whatever we think may be needed, I mean, we're still a pretty large customer of theirs, they listen and they provide us with the necessary development of products. In some cases, certainly in the luxury area, we do offer a smaller complementary range. I mean, we have some product on there. We've even added product that we don't own into those lineups when needed. But I have to tell you, Elemis' lineup across face and body is more than enough for us to continue to grow. And all of our services and protocols that we use, all are -- the architecture around those services are supported on the back bar and the retail side by the development of the Elemis product range. And so we are very excited about new things coming from Elemis next year. So there is really no need to look at this. And we get approached all the time to put products on board because we have such an incredible showcase and showroom and trial and test for our guests and consumer. But at the same time, we have a very good deal -- long-term deal, as Stephen mentioned, with Elemis, and we'll continue to keep that as our dominant range. With respect to the e-commerce side, we do sell Elemis on e-commerce, but then Elemis sells a lot of e-commerce on its own website. So we don't -- we compete against them, but not in the same way because it's mostly our guests that are buying products that they've brought onboard. We continue to look at what we can do to expand the e-commerce side. It's certainly doing better than it did in 2019. And to the extent that something looks like it might be worth adding to e-commerce and the post-guest experience and sale, we'll do that, but there's nothing right now.
Laura Champine: Understood, thank you.
Leonard Fluxman: Welcome.
Operator: The next question will come from Assia Georgieva with Infinity Research. Please go ahead.
Assia Georgieva: Good morning guys. [Technical Difficulty] to start with my congratulatory remarks. Great Q2, great increase to the outlook. And the fact that you reinstated the dividend is fantastic. And then, Stephen, you said that we don't have to deal with the warrants [Technical Difficulty] is the date that I remember quite clearly. Can I ask a question on occupancy because I think it's an opportunity and it can go both ways. One of the major brands that you serve on has pretty much gotten to the historical levels of occupancy. Another one who may have reported earlier today is still lagging behind the historical levels. So it seems that with greater occupancy opportunity, you might be able to continue to grow beyond what the ship count is. Is that a fair assessment?
Stephen Lazarus: So, Assia, I would point out that, as you know, we only service a small proportion of guests onboard anyway, and generally speaking, occupancies have pretty much gone back to historical levels. Some of them may be even are surpassing that. But when that happens, as you know, when they're getting above the 100%, it's typically because they're filling those cabins with kids. And so that's really not our target audience per se. So I'm not -- I don't really think from a cruise line occupancy perspective, there's still lots of opportunity for us. Obviously, we love the fact that they always fill their ships and they historically have done that and are now continuing to do that again. But when you start getting to 113 plus, 100-plus-percent occupancy, the marginal increment for us is not that significant.
Assia Georgieva: Fair enough, Stephen. Thank you. And because you guys mentioned Silversea and Icon -- and if I can add Utopia, three different types of demographics that would go on those ships even between Icon and Utopia. How do you view the product that Royal is presenting, basically a shorter party-type voyage on Utopia versus Icon of the Seas, a family-type voyage versus Silversea, whether it's Ray or Nova, a much higher-end customer without any family, without any kids I mean, longer voyages. How do you view these three different types of demographic target markets?
Leonard Fluxman: Assia, thanks. I think it's a very smart way that Royal Caribbean has approached the market. They're offering a family choice and the Icon is an incredible layout for families and kids. And then I think by introducing Utopia, shorter cruises, more younger demographic, maybe a little bit more partying going on, I think is also quite smart as well. And I think we've seen those kind of demographic across different banners and it's never been an issue for us. And look, our training and the way that we go to work on different types of length of itineraries, different types of demographics, caters to this. So I think it's very exciting that they are offering two identical ships catering to two different demographics. And I think they'll do equally as well. Silversea in the luxury markets, beautiful ships, longer itineraries, no kids, as you say. We continue to excel on there as well, and our recent results on there have been outstanding.
Assia Georgieva: And so between Utopia, the party market, the younger demographic, and Icon, the more family-oriented, do you think that you may have a greater penetration rate at Utopia?
Leonard Fluxman: It's too early to tell. I think a three, four-day mix makes people make quicker choices because they've got a shorter period of time with the three days or four days, they got one extra day for deciding when they're going to participate in some of the amenities including spa. But listen, I think the ship is outstanding. I think the itinerary that it's chosen for the three, four days, I think, will complement competitiveness against their other vessels. So no, I don't see any challenges. Certainly nothing that we can't adapt to. And this is not the first time we're handling three and four day party cruises. We've done this for decades.
Assia Georgieva: I was actually going the other way. I was thinking this was more of an opportunity than a challenge. Younger couples don't have kids, can spend time at the spa as opposed to playing with their kids. And I sound like I'm anti-kid and I'm sorry, I'm not. Is the Utopia-type product is actually better for you.
Leonard Fluxman: It could well be. But remember, whether you're on the family ship or the party ship with no kids or if you're on the family ship, the Icon with kids, the way in which the itinerary is laid out on the Icon, the ability to put different kids at different ages in different types of programs doesn't impede the married couple from participating and enjoying many things that adults like to do onboard. So no, look, is there an opportunity to do better with the younger crowd? Possibly. But then again, we'll have to see, as a consumer group, how they behave. So yes, it could be an opportunity, but I certainly don't think the Icon is disadvantaged by it.
Assia Georgieva: All right. Fair enough. And if I may ask one last question. We know that pre-bookings tend to be a multiplier in terms of what gets spent onboard. And you mentioned in your prepared remarks that having brands that are onboarding with you, they may not be quite as attuned to or not have the pre-booking engine that would actually feed into pre-booked spa. So what is the opportunity in 2025, do you think in terms of pre-booking penetration versus what we have had this year?
Leonard Fluxman: So look, as I mentioned, we were still onboarding different banners and continue to onboard them to get to scale. We think pre-booking will continue to move upwards. There are some good banners still to get onto the pre-booking platform at scale. We think there is a lot of work to be done with our cruise line partners with respect to enhancing the pre-booking experience and journey. We continue to provide content. We continue to provide different types of views of what is available onboard and we will continue to augment that so that they adapt to it and continue to improve the pre-booking journey. I think if they utilize everything that we're giving them, we will certainly see pre-booking start to move northwards.
Assia Georgieva: And currently, we're at about a 30% rate, correct?
Leonard Fluxman: Sorry, you broke up there. What was the question?
Assia Georgieva: Pre-booking, we are currently at about 30% penetration in terms of pre-bookings?
Leonard Fluxman: It's 23%.
Stephen Lazarus: Pre-booking is about 23% right now as we reported.
Assia Georgieva: Okay. I'm sorry.
Stephen Lazarus: The 30% you mentioned is, a pre-booked guest, on average spend 30% or slightly more than that than a guest that do not pre-book.
Assia Georgieva: Okay, perfect. Thank you so much guys and again great quarter and thank you for the great news this morning.
Stephen Lazarus: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Leonard Fluxman, Executive Chairman for any closing remarks. Please go ahead, sir.
Leonard Fluxman: All right. Thanks, Chuck. Once again, thank you all for joining us today. We're very excited about the results for the first half of 2024, and we look forward to speaking with you when we report third quarter results and seeing many of you during our upcoming investor meetings. Thank you very much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.